Operator: Good afternoon, everyone and welcome to TILT Holdings First Quarter 2021 Earnings Conference Call and Webcast. This call is being recorded today for replay purposes. A replay of the audio webcast will be available in the Investor section of the company's website approximately 2 hours after the completion of the webcast and will be archived for 30 days. I would now like to turn the conference over to your host today, TILT's Director of Investor Relations, Taylor Allison. Please go ahead.
Taylor Allison: Thank you, and good afternoon, everyone. Thank you for joining us today. TILT Holdings first quarter 2021 financial results were released today. The press release financial statements and MD&A are available on SEDAR as well as our website tiltholdings.com. Please note that during this afternoon's webcast remarks made regarding future expectations, plans and prospects for the company constitute forward-looking statements within the meaning of applicable securities laws. Actual results may differ materially from those indicated by such forward-looking statements as a result of various factors, which we disclose in more detail in the risk factors section of management's discussion and analysis for the three ended March 31, 2021, filed with the applicable Canadian Securities regulatory authorities and can be found on sedar.com. We remind you that any forward-looking statements represent our views as of today and should not be relied upon as representing our views as of any subsequent date. While we may update such forward-looking statements in the future, we specifically disclaim any obligation to do so except as otherwise required by applicable law. Please note that on today's call, we will refer to certain non-IFRS financial measures such as EBITDA, adjusted EBITDA and gross profit margin excluding changes in the fair value of biological assets and inventories. These measures do not have any standardized meaning prescribed by IFRS and may not be comparable to similar measures presented by other companies. So consider these certain non-IFRS measures to be meaningful indicators of the performance of our business in addition to but not as a substitute for our IFRS results. Reconciliation of such non-IFRS financial measures to their nearest comparable IFRS measure is included in a press release issued today. On today's call are Mark Scatterday, Chief Executive Officer; Gary Santo, President; and Brad Hoch, Chief Financial Officer. With that, I will now turn the webcast over to Mark.
Mark Scatterday: Good afternoon, everyone, and thank you for participating in our first quarter 2021 earnings webcast. As I’m sure most of you have seen from our press release on May 14, I will be stepping down as CEO and continuing as Chairman of the Board. And Gary will transition from his current role as President into his new role as the CEO effective June 1. When I joined TILT, I was to drive innovation technology and product within the larger TILT family. Shortly after I was asked to take on the role of CEO which entailed managing every business unit to stabilize and bring TILT to profitability. I've done what I came in to accomplish and I couldn't be more prouder of our incredible team of employees and where the company is now. It has been an honor and an enlightening experience leading TILT and I feel confident passing the baton to Gary and I'm excited to see the company rise to the next level. Gary has proven his ability as a leader and has been instrumental in developing and executing TILT strategy. I will continue to actively support him during this transition, while also working closely with the R&D team to continue to create new inhalation advancements. Developing new products is truly where my passion lies. So I'm very excited for this next chapter. With that, I'll pass the call to Gary and conclude my last and shortest set of prepared remarks. Gary?
Gary Santo: Thank you, Mark. Over the course of a 25-year career spent working with both startups and established organizations undergoing transformational M&A, I've been fortunate to have worked with several dynamic leaders capable of methodically focusing their talents on the task before them and avoiding the temptation to look so far ahead that the present became an afterthought. I'm proud to be able to add you to that list Mark. At a time when TILT was being pulled in any number of directions, your entrepreneurial mindset and commitment to lean, efficient operations allowed you to stay the course in strengthening our foundation. That type of work is hardly glamorous, nor does it translate into splashy headlines. But it was necessary for us to be in a position to deliver long-term value to our shareholders. In my capacity as President, it's been a pleasure serving alongside you and I know that I speak for the entire company, when I say that you've been an exceptional leader for us all. And I look forward to your continued presence and guidance as Chairman of our Board. TILT exited 2020 with a new strategy focused on becoming the first true vertical provider of business-to-business goods and services to multi-state operators, Canadian LPs, independent cannabis dispensaries and brands. Our core businesses allow us to provide solutions that span the cannabis spectrum, including technology and hardware, packaging and supply chain management and access to cultivation, manufacturing and distribution in high demand supply challenged markets. We're only five months in implementing that strategy. I could not be more proud of our team's focus on execution on display as recently as yesterday when we announced our second brand partnership in three months, with the addition of Airo brands. It's not easy to go from being a holding company where business units often operated independently to an integrated operating company where collaboration amongst businesses is a must. But our team has embraced TILT's new strategy, demonstrating a commitment to the ongoing operational and cultural changes needed to support our vision and resulting in genuine excitement throughout the organization. If all you could see what I see each day when I connect with my colleagues, you'd understand my comfort with our progress in 2021. And why I can focus on growth initiatives for 2022 and beyond. A few words about growth and its impact on where it matters most are numbers. In the first quarter, we generated just under $47 million in revenue and $6.2 million in adjusted EBITDA, both records for TILT. You may remember that starting last quarter, we reported results excluding Blackbird, as it was classified a discontinued entity along its divestiture in November. That said, even if we were to include Blackbird for the period of time, during which TILT owned the company, our first quarter revenue and adjusted EBITDA would still be records for TILT. In other words, organic growth plain and simple. I cannot emphasize that point enough, as it means that our 11% sequential revenue growth and 36% sequential adjusted EBITDA growth, as well as our 15% year-over-year revenue growth and 28% year-over-year adjusted EBITDA growth all came at a time when we were effectively shedding assets. To put that in perspective, number of other cannabis companies have generated eye popping year-over-year growth driven in large part by M&A transactions and CapEx heavy expansions. Conversely, our growth was entirely from leaning into our existing asset base, the very definition of organic growth. To achieve our guidance in 2021, we're not relying on any pending acquisitions to close, nor do we need to raise capital to fund any material CapEx. In fact, we have been funding the business solely out of cash flow from operations for going on two years now. And I'm not sure how many cannabis companies can claim as much over that same period of time. Our time will come to do more than grow organically. A great example being the completion of our acquisition of Standard Farms Ohio during the quarter. However, shareholders should know that we will do so only first by demonstrating solid fundamentals. To that end, in addition to funding the business out of cash flow from operations, our capital structure is simplicity defined, with two tranches of affordable debt, the first of which does not come due until November 2022. This allows us to be opportunistic in our approach to the capital markets. As we strive for a more traditional capital structure, where things like sale leasebacks and excessive dilution are potentially helpful in the near term are recognized for the expensive long-term options to shareholders that they really are. As we look to the health of our core businesses, cannabis revenue increased 45% during the first quarter, while revenue growth in our more mature inhalation and accessory business, grew roughly 8%. Looking deeper into these businesses, our flagship cannabis operations in Massachusetts continued to produce record results with our single medical dispensary in Taunton Massachusetts, posting their best retail numbers to-date. Wholesale demand and third-party contracting round out the key performance drivers in Q1, which do not reflect any contribution from our recent canopy expansions. You may remember that during the quarter, we completed our capacity expansion, doubling our grow in Massachusetts and remain on track for initial harvests in the weeks to come and expected contribution to sales in the second half of the year. The team success in signing Her Highness a female-focused cannabis couture brand and bringing product to market only 30 days later, has caught the attention of other brands looking to enter our markets in a meaningful way, leading to several ongoing conversations. Airo brands was one such conversation and also has the distinction of being an existing customer of our inhalation business. And as we announced yesterday, partnering with them to bring their products and formulations to the Pennsylvania marketplace is a great example of the inherent synergies between our plant touching and non-plant touching businesses. With over 700 cannabis brands as customers of our inhalation business, the cross-selling opportunities are plentiful and our redesigned sales and marketing teams are enjoying the newfound ability to leverage the depth of our product offerings and help expand those relationships. One last note on Massachusetts, we continue to diligently work with the Cannabis Control Commission for resolving the investigation that has stalled our remaining state licensure for the past two years. During the quarter, we took material steps to address the remaining two items in that investigation and believe that should clear a path for our retail licenses to be considered shortly at an upcoming meeting of the Commission. It has been a long road, but we believe that the end is truly insight and remain committed to getting our fully built out stores open for business later this year. In fact, we have already hired the General Manager for our Brockton dispensary and after training is complete, expect to be in hiring dispensary staff in the weeks to come. Turning to our cannabis operations in Pennsylvania, modest investments in system upgrades have led to continued improvement in cultivation yields, resulting in record flower sales in the state. During the first quarter, we doubled our extraction capacity, allowing the team to increase production of our high potency capsules first introduced to the market late last year. It also has allowed us to increase our inventory of oil, which could not have come at a better time given our Airo announcement, as we will need some of that inventory to facilitate their launch in the market in early summer. I'm pleased to report that our [H backup] [ph] rate is nearly complete. The summer months have always been a challenge in terms of premium flower production at our Pennsylvania facility. And we anticipate this upgrade to allow us to seamlessly grow during the hottest three months of the year. Rounding out our cannabis operations is Ohio where we recently completed the acquisition of our 9600 square foot processing facility. We are excited to bring our Standard Farms branded products to market along with contract manufacturing and white label capabilities opening yet another dynamic market for our brand partners. Operations were limited prior to the completion of the ownership transfer forever since completion we recently received regulatory approval to add the manufacturing of edibles for our production capabilities. And our award-winning edibles team in Massachusetts is hard at work creating recipes and products to share with our Ohio customers. We plan to expand our product offerings beyond edibles to include vapes and topicals, beginning in June and will look to continue ramping production throughout the second half of this year. As a reminder, when we provided our 2021 guidance to the market, we did not include any contribution from our Ohio operations as we were unsure about the timing of the regulatory approvals required to complete our acquisition. Although we did not expect the material contribution this year as we scale our Ohio operations. We are excited to open this market earlier than anticipated and look forward to building our team capabilities and product offerings in this fast growing market. Looking to our inhalation and accessory business, the segment has historically been our steady predictable cash flow generating workhorse, while a different margin profile from our cannabis businesses, it has been profitable since day one, providing stability to our earnings and cash to reinvest in high growth areas. 2020 was a difficult year for this business line, however, as we exited 2019 in the midst of a vape crisis, so our brief recovery and then rolled right into the respiratory pandemic. That said, as we indicated on our last earnings call, by late third quarter, we began to see a return to pre-COVID purchasing levels that has persisted into 2021. As of March 31, vaping, as a category is expected to grow approximately 18% in 2021. According to BDS analytics. Here we expect to outperform that growth fueled by better than expected power supply sales, as well as record cartridge sales throughout the quarter. While still the largest distributor of CECL technology in the cannabis space, we have completely reimagined our approach to sales and marketing, as we are not content to rest upon our laurels. Mark's ability to devote his time to advising on product innovation, together with our accessory offerings that include packaging solutions and access to our cannabis operations mean that as mature as this business is, the potential for meaningful growth remains. Before I turn the call over to Brad to review our financials in more detail, a few words about our share price. For the first five months of this year, we continue to outperform other cannabis companies in terms of percentage of price appreciation. However, on an absolute valuation, our shares continue to trade at a discount. That being said, we cannot control our share price, but we can control the execution of our strategy. And that is where our focus will continue to lie. The reality is that there are not many cannabis operators who offer the kind of vertical operations on a B2B basis that TILT does. And they're most definitely not many cannabis operators capable of funding their strategy entirely out of cash from operations the way TILT has over the past two years. I'm immensely proud of the work we have accomplished to redefine TILT strategy. But I'm even more excited by our team's execution and relentless commitment to making TILT one of the best B2B players in the industry. With that, I'll turn the call over to Brad before we open the call to Q&A. Brad?
Brad Hoch: Thank you, Gary, and good afternoon, everyone. As a reminder, all results discussed today are in U.S. dollars. First quarter revenue was 46.8 million, up 11% sequentially. Revenue in our accessory business was 35.1 million, and revenue from cannabis was 11.7 million. Gross profit before fair value of biological assets was 13.5 million, a gross margin of 29% compared to 27% in Q4. As we discussed on our last conference call, gross profit was impacted in Q4 as new rooms at our Massachusetts cultivation facility came online producing costs prior to new harvests being ready for sale. This continued to be a drag on our gross profit in Q1. However, we've been able to partially offset that drag, with improved cultivation yields in both Pennsylvania and Massachusetts. Over the course of the year, we expect more upside as our new rooms in Massachusetts reach full capacity. Total operating expense for the first quarter was 13.1 million. The cash related operating expense 7.9 million, compared to 8.3 million in Q4. On a year-over-year basis, our cash related operating expense declined by 10%. This is particularly impressive considering over that same period, we grew revenue by 15%. We've been very successful at creating a leaner more efficient operation. That focus is and will continue to be one of TILT’s core pillars going forward. The company record a net loss of $1.6 million. We are on the verge of being net income positive, while being net income and EPS positive is a huge step that we are looking forward to reporting. We still believe adjusted EBITDA is a better metric to evaluate our profitability. Adjusted EBITDA was 6.2 million in the first quarter or approximately 13% of revenue, a significant increase from Q4 adjusted EBITDA of 4.5 million or approximately 11% of revenue. We are beginning to see strong operating leverage an expected benefit from a greater mix of cannabis revenue. Cash flow provided my operating activities was 2.6 million, we expect cash flow to increase in coming quarters as we sell through the increased oil inventory in Pennsylvania and Massachusetts where we are growing from new rooms in Q1 with product that only hit the shelves in Q2. We ended the quarter with 9 million in cash up from the previous quarter of 7.4 million. This is our third quarter of increasing cash balance. We have been fully funding this company strictly from operating cash flow. Financial position of TILT continues to improve. This was a record quarter of revenue and adjusted EBITDA. We are generating both organic growth and strong cash flow. I'll echo Gary's statement that 2021 is an exciting year. We have a focused strategy and we are executing, which leads to us reaffirming our 2021 guidance of 205 million to 210 million of revenue and 30 million to 32 million of adjusted EBITDA. With that we conclude our prepared remarks and will now open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question is from Aaron Grey with Alliance Global Partners. Please proceed.
Aaron Grey: Really nice quarter and congrats to Gary and to you as well Mark look forward to work with you guys in your respective roles. So first question, Mark, I [indiscernible], just in case, I don't get to talk to you on the calls anymore. So, a record quarter of first quarter 35 million, anything to kind of call out in terms of timing related, something might have happened, maybe a big sale that came in, or any reason to think that that's not a good base to kind of build off of, going into 2Q, or the rest of the year, because I know in the first quarter, sometimes with the Chinese New Year, and otherwise, sometimes last year, there's some revenue that kind of got pulled forward. So just, let's get any color on that.
Mark Scatterday: Yes. What that was, was we've had a pretty significant up tick in our power supply sales. It was just the cartridges have been pretty solid, but power supplies have really taken a run. Brad, you want to add anything else to that?
Brad Hoch: Exactly right, Mark, and we're seeing a few of our larger customers actually come in, where there was a little bit of a pause of buying of power supplies in 2020. We're seeing that up tick in volume of orders in 2021 for power supplies.
Aaron Grey: Okay. And just curious, do you see that as reoccurring maybe as much as like the cartridges if it's just the power supply within itself? Just because those obviously be more reused in just the cartridges? So just really quickly on that?
Mark Scatterday: Yes. So power supplies, we're seeing like said a few of the bigger customers come in after that pause in 2020. But we also are seeing record cartridge sales as well. And based on the order volumes, we're seeing where we're feeling pretty good about where we're at 2021 guidance.
Gary Santo: Aaron, I've seen that from some of our customers, they're shifting over to a CECL, or our power supply over the current open market or commodity power supplies that they've been using. I don't know if I'm not too sure if that's from failure modes or any problems that they've been experiencing, whether it's in supply chain, or the quality of their products.
Aaron Grey: Okay. That's helpful color. And then, second question for me. For Massachusetts rights, you guys have recently, you had six, some more rooms that harvested I believe in March, a key point you guys brought up last call was the improvement you had in terms of the legacy rooms in terms of failure rates, I think it was 30% that have gone down to about single-digit failure rate. Just curious to know if you had any incremental color in terms of how those kind of first harvest kind of went in those new rooms, and then maybe what you're seeing in the additional eight rooms, I believe were planted in March.
Gary Santo: Sure. So the eight rooms actually we won't see harvested, I think they just started harvesting the first of those eight rooms. So we won't know for a little bit. For the six that were previously planted. I'm not sure the results have come back from testing there as of yet. I know that the systems in the newer space are actually newer systems, believe it or not. And we have been testing out different kinds of lighting constructs, especially because we have the ability to do a tiered growth. So it's probably a little too soon to be able to put out any kind of test results on the new space just yet. But I know the legacy space continues to perform much better than it did last year. I don't have an updated number at this point to give you. But I know one of our rooms, I think put out as much as 200 pounds in the last harvest. So we're getting solid production out of that facility.
Aaron Grey: Okay, fantastic. Thanks for that color. And then, last question for me just more high level, I know it hasn’t been too long since our last call. But any kind of updates in terms of the initiative you have to increase the percentage of cross selling you have in the business kind of maybe how those conversations have continued to evolve. You guys just announced a new brand today. So any kind of color there in terms of that initiative will be super helpful. Thank you.
Gary Santo: Sure, sure. I mean, I think you're absolutely right. Airo is one of those brands. So Airo is one of Jupiter's oldest customers. And they have an exclusive on our Jupiter exclusive L9 pen for all throughout the U.S. And we look for ways to work together outside of just Jupiter and Pennsylvania was a logical fit, the market they wanted to get into. Their model is to really take that pen and have their own terpenes and their own formulations, their own filling capacity, and then be able to distribute that. So I think our Pennsylvania operations became a natural fit. We have all that capacity. We have the additional oil that's required and the capability of doing distillate. So they'll add their marketing horsepower and this will add on to that. You might remember the concentric circles in our corporate presentation that show about 20% of our revenue comes from customers of both are inhalation and plant touching businesses. So this is going to be adding to that. And I think overall, we've just seen more of those brands want to come into those markets, whether it's Ohio. We've seen Massachusetts, the conversations take a little bit, honestly, because we want to make sure the fits good. We want to make sure that the expectations are realistic. But it's natural to be providing Jupiter hardware, filling it with Standard Farms oil, and distributing it to 95% of the customers that we serve in Pennsylvania. So it's early days. But we're pretty happy that within the first few months of early days, we've already landed one of those customers. And overall, we have added two brands in over three months. So we're very happy with that.
Operator: Thank you. Our next question is from Bobby Burleson with Canaccord.
Bobby Burleson: So just curious, with KUSH / Green Lane merger, any changes to the competitive landscape in hardware or packaging, or anything notable that could impact you guys?
Gary Santo: We're seeing anything yet. I mean, I think it will be an interesting moment for the CECL universe to see how that co-exists. As far as we understand that, the Kush / Green Lane partnership will yield vape products that go beyond the CECL family and open the door potentially to distributing non-CECL products, even as a CECL distributor. If that were to happen, obviously, that creates tremendous opportunities for us, as we might think about looking more broadly across the spectrum. Conversely, depending on how it shakes out, we think there's great opportunity to help continue to serve and broaden the reach of CECL products themselves. So it's probably too soon to tell we're in regular communication with the factory in China. It's something that we're all looking at collaboratively to make sure we all understand what the outcome of this is going to be. But, certainly I think the early results through the first five months of this year, seem to be leaning in the right direction for us overall.
Bobby Burleson: Okay, great. And so with the additional grow rooms coming online in Massachusetts, and then you've got these adult-use state licenses, I guess it'll hopefully get approved soon. How big of a business really, all told, do you think, that Massachusetts operation could be next year? I mean, maybe in terms of the overall mix of your revenue, or from an EBITDA perspective, anything that would be helpful?
Gary Santo: Sure. I mean, we can't really provide guidance outside of this year. But I think as you contemplate, we doubled our canopy. And I believe in our budget, we probably expected revenues to roughly double from last year to this year when we put our budget together. Now, that was assuming that we will not be operating at full capacity as those rooms are built to handle two-tier growth and we're doing single bench right now. And again, since we're experimenting with lights, I would hardly say that we're cramming those rooms with every available plant we can. I think there's also the potential for us. Depending on how the market continues to evolve. To add, we can go up to 100,000 square feet of canopy, we've got the room on the property there to do it, but it is just a question of whether we choose to do it using a greenhouse or extending the building out even that much further. So as we look towards bringing those retail shops online, it will be an interesting exercise for the team, as we already are selling through everything we produced on the wholesale level. So getting the extra canopy couldn't come at a better time. But then, how we decide which products to flow through those dispensaries and which products to continue to sell will really be a game time decision. Our wholesale prices continue to remain strong and if I can continue to sell a pound of flower for anywhere from $3,500 to $4,000, I probably have to think long and hard before I start turning that into packaged goods and distributing it to the stores. I would also say, our approach to our stores is going to be slightly different whereas most MSOs talk about a 70:30 split sort of the Starbucks example we're about 70% of what they carry will be their own and 30% will be a curated portfolio. I think for us given our brand partnerships, it could be an opportunity to do more of a 50:50 split, share some of our shelf space and really work with them to help redefine their brand architecture into this new market. So we would not be averse to doing that and trying out some new product lines for some of them. So it will really be a decision. The stores will probably open in a staggered pace. My expectation is once we get the green lights from the state, we would do Brockton medical, then we would add adult-use in Taunton and hopefully adult-use in Brockton and then round out the end of the year with medical in Cambridge. So that will also determine what products are going where given that staggered approach, [indiscernible].
Bobby Burleson: Sure, sure. Thank you. And you guys, obviously are a little different also from some of these other players in that you have captive vape hardware? How do you kind of leverage that competitively, right, here you'll have, obviously more flower, but you'll have this vape business that other folks don't have?
Gary Santo: Well, I mean, I think it depends on which part of the vape business it is, we do have Jupiter proprietary products that we'll be bringing to both of those markets in Pennsylvania and Massachusetts, a number of our infinity products will be landing there. I think there's also opportunities to bring Jupiter and CECL branded products that come under someone else's banner. So if you think about Airo, we're not selling the L9 at all in Pennsylvania. So that will be coming in a new product, but it's really our pen at the end of the day. So it's a great way to open up those markets to additional hardware for us. And I think it also opens the door to even existing customers who may be getting their pens from another source. It's another way to bring them into the family. And we can offer more packaged services that might get them more discounts on filling and things like that. So, it is definitely a cross-sell opportunity. The Airo one made it about as easy as possible but I think there's a lot more, grant to till there.
Operator: Thank you. Our next question is from Scott Fortune with ROTH Capital Partners.
Scott Fortune: Real quick, want to follow up on your guidance? And what's included there as far as Massachusetts stores and the full utilization of your Massachusetts cultivation and taking though Ohio stores are in correct to the guidance. Just kind of want to see what other assets that could provide upside to that guidance and what's in actual guidance?
Gary Santo: Sure, and pleasure to connect again Scott, thanks for joining the call. Yes, I think when it came to our guidance, we wanted to be really careful and intentional, putting out guidance. It is one of those things, especially in this industry that you can lose control over very quickly. So we took a fairly conservative approach. And as we break it down, when you look at our inhalation business, our assumption there was that we would not land any new customers and also our smaller customers, Brad, were those 250,000 and below or?
Brad Hoch: 100,000.
Gary Santo: 100,000 and below that, we would lose about half of them and not replace them. We also did a bottoms up build where we went out to all of our customers and spoke with him to understand their ordering intense over the course of the year. So when we came up with that, we knew that we could still outpace the market growth, just based on what our existing customer base with those caveats I mentioned, would effectively put out. Now that said, I think we're doing quite well against that right now, we've been very pleased that we remain on track, if not slightly ahead. When I look at plant touching, couple of things there. So in Massachusetts, we did not assume that we would fully utilize the new space. And we also assume we would have higher than expected fail rates. So Aaron had mentioned earlier last year, our legacy grow, experienced 30% to 40% fails, they were having some climate issues that we resolved with some upgrades to our chiller systems. So now that we're down to the sub 10% fails in the main facility, looking at the expansion, we still held on to that 30%, 40% because we are dealing with new lights, new HVAC systems, different configurations. Do I honestly think that they're going to come in at 30% or 40% fails? I certainly hope not. But we felt it was prudent because we're going into a new space. So, potential for upside there is, the crops come in a little bit closer to what you might expect at 10%, 15% fail rate. But again, it's too soon for us to tell on that front. The stores I talked about the cadence that we'd expect them to open and so we never thought they would come online, really before the second half of the year to make any kind of meaningful contribution. So right now we have our content medical-only dispensary open, continues to set records on a monthly basis, which we're very pleased by. But we're certainly hopeful that if we are able to get our licenses, before the summer, come mid-summer we can get our Brockton medical dispensary open. And then, later on in the summer, early fall, we could add adult use to both Brockton and to Taunton and then complete the year in late fall early winter, by adding medical in Cambridge. I mean, obviously it's all subject to getting the approvals and the final inspections, but really all these facilities are completely built out and it really is just getting on the schedule and then making that happen. So we didn't want to get too aggressive there. And again, since we're selling out everything that we're making on the wholesale side, really, it's marginal improvement and margin improvement, if you will, more than really, a big dynamic shift. As we think about Pennsylvania, the big things there was last year, we exited the year growing more than we could extract. So for a modest investment of about $100,000, $150,000, we doubled our extraction capacity. And now we're making excess oil and concentrates. And that's allowed us to step up production of our high potency capsules, which were big sellers at the end of last year. Pennsylvania doesn't have an edible market. So the capsules, the next best thing, and what we've found is anytime you increase the potency on any products in Pennsylvania, they tend to sell very well. So this has allowed us to step up production there. And also now adding Airo brand that was never even figured into our projections, we just assumed we would be selling our house brands, which is Standard Farms. The other piece is the flower that I mentioned. We've been experiencing record flower sales. And the concern we always have going into the summer is that historically, the heat and the humidity make for a bad mix in a greenhouse grow. And these are solid greenhouses not hoop houses, metal and glass construction. With modest upgrade to the HVAC system, however, it looks like we will be able to continue to grow throughout the summer there. So if flower continues on the pace it is now, again, another possible upside. I don't think we're at a place yet where we can raise a flag about upside, or we would be changing our guidance, frankly. But it is something we're keeping a close eye on. And then, of course, Ohio is sort of, I wouldn't call it a lottery ticket, because we're just getting going. And it's a limited number of products there and they're concentrated based. So what edibles are good margin products, tinctures can be good margin products. I think as we see those products start to launch, probably by the time we do our next earnings, we'll have a better visibility as to how material we think that can be. So there's definitely pockets of upside available. It's just a little bit too soon to call the ball that they're definite.
Scott Fortune: I appreciate the color that is very detailed. And I appreciate that. Just a follow up, congrats on the Airo brand bringing that in as your second partnership. I know you're spoken on bringing in more partnerships here. What's kind of -- look for, we think in about five to seven partnerships, or can we think about a lot more longer term? How do you kind of look at that mix to onboarding to your footprint and platform there?
Gary Santo: So we've created a bit of a grid of different price points and quality points on the left side. And then going out on the right side, we have the different form factors, whether it's by demographic or whether it's by, what's allowed from a regulatory perspective. And our goal is to fill in every one of those boxes we can and make sure that brands compliment each other and not compete for the same space in the same box. And somewhere in that mix, our own house brand will fall, we'll take a look at the market, we'll figure where it makes the most sense. Right now, Standard Farms, I think it's a top three or top four brand in Pennsylvania, our Massachusetts brands are well known, but really we're about partnering with brands to bring them to our customers and not competing with our customers. So, I don't know, if there's a hard and fast numbers, it really depends on what are the brands, and what's the brand architecture. There are some brands out there, frankly, we could partner with them and probably fill two thirds of the boxes, I think we want to be careful there because again, part of the allure is to be able to provide a true mix of products that we can go to all of our retail partners with and allow them to fill their shelves. I will say that the typical characteristics we look for are brands that are more established, that have a good firm footing, especially the West Coast brands that have maintained their brand identity and in some cases, their premium pricing. In the California market where it's hyper competitive, and frankly, pricing is a race to the bottom. I think bringing those brands east and working with them to maintain that brand fidelity and architecture is going to be a key differentiator for us. So we'll be intentional, hopefully we will bring some brands that people will recognize each step of the way. But we'll do it the right way. We were not in a rush to suddenly fill out and have 10, 15, 20 partners, and then everybody fighting over the same territory so. Is that helpful?
Operator: Thank you. At this time, I would like to turn the call back to Taylor Allison for questions that are coming in through the webcast.
Taylor Allison: Thank you. We've had several questions to the webcast. Most of them have been asked by the analysts that we have just a couple to go through here. So we'll start with Brad, a question that came in for him was how should we think about the mix of cannabis versus ancillary revenue in 2021?
Brad Hoch: Thanks, Taylor. And for 2020, the cannabis revenue came in at low 20% of mix. And as you can see from this quarters release, cannabis is at 25% of our total mix. When we look at full 2021 that should increase to the low 30% of mix. Now that's on the revenue side. Obviously, with cannabis being a bigger percent of our of our mix, you'll see that profile on gross profit as well as adjusted EBITDA adjust from there as well adjust up, as we have better margins and better adjusted EBITDA on the cannabis side.
Taylor Allison: Perfect. Thank you. The next question, you hit on Ohio a bit in one of the questions previously, we've gotten several questions asking about since Ohio wasn't included in the guidance for 2021? How do you look at the potential of Ohio given that it's just been started?
Gary Santo: I think there we want to be cautiously optimistic. Certainly we're being very intentional with rolling our product, there's a few modest equipment purchases under 100,000 that we want to put into the marketplace there. And leading with edibles, I think is always a good first step. There's about 52 dispensaries that we're able to sell into down there. So I'm hoping that the breadth of the product line will help put us on the map there as I think the prior ownership really didn't invest that much time in building out brand architecture or creating some of those relationships. So I think anything over $1 is going to be additive. But it gets a little bit too soon for us to get deeper than that.
Taylor Allison: Perfect. And then a final question. How are you thinking about other markets? Or is it about getting deeper within your current footprint?
Gary Santo: That's a great question. I'm not sure they're mutually exclusive or binary, though. I think first and foremost, you always want to be deep in your existing markets. I think as good as we are in Massachusetts, we know we can be better. I think adding those additional retail footprints and bringing that capacity online will help us get deeper in that market. And by that I mean, we sell to approximately 50% of the retail stores right now in Massachusetts. And that's because we're selling through product, I'd like to see that number get a lot closer to what we do in Pennsylvania, where we touch about 90% to 95% of the retail outlets there. That's the business model. So I think getting deeper is always good. Same thing with Pennsylvania, we have the capacity to expand there as well, we're keeping a close eye on the likelihood of adult-use and the timing of adult-use. But we have the ability to add more than double our canopy there. Ohio we already talked about. But as we look to other markets, I think we're going to be careful. There are a lot of crazy valuations going around out there. Again, it's almost like we're going back in time a little bit here. And I think every market always sounds great. You just have to dig a little deeper and recognize that when we look at markets, we're not looking necessarily at our retail play. But we're looking at the retail footprint of others and what we can do to support that. So you look at states like Texas, where you have tremendous population. I think that could be an interesting market, but who knows where they're going to be at? I think for us trying to centralize as much of our operations as possible would be great. So looking at that Northeast corridor, but it's got to be the right fit. I'm not sure that means it's de novo. I don't think I know it doesn't mean going in and overpaying for something. Maybe it means partnerships. But for us, we're certainly looking across the country. We're looking at where the opportunities lie but remaining true to what our business model is and not getting seduced by just the newness of a new state.
Taylor Allison: Perfect. That concludes our Q&A for today and our earnings call.
Gary Santo: Great. Thank you all for attending, on behalf of the team, Mark and Brad and myself. I really appreciate you taking the time to look into this. As always please do not hesitate to reach out, Taylor is your primary contact and we will be attending I think two or three conferences coming up in the not too distant future for I've just been told. So look for us out there and be sure to check our website www.tiltholdings.com for updates and news. Thank you so much.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you very much for your participation and have a great day.